Operator: Good day, and thank you for standing by. Welcome to the Heidrick and Struggles Q2 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Suzanne Rosenberg. Thank you. Please go ahead.
Suzanne Rosenberg: Good afternoon everyone and thank you for participating in Heidrick and Struggles 2021 second quarter conference call. Joining me on today's call is our President and CEO, Krishnan Rajagopalan; and Chief Financial Officer, Mark Harris. We have posted our second quarter slides on the IR homepage of our website at heidrick.com and we encourage you to view them for additional context, but we won't be referring to specific page numbers during our opening remarks.
Krishnan Rajagopalan: Thank you, Susan. Good afternoon everyone and thank you for taking the time to join our call today. As you can see from our press release, our second quarter closed out a very strong first half of the year for Heidrick, while we performed exceptionally well and we see a number of positive market trends underway. I think it's important to note that many of our clients and communities around the world continue to navigate through the pandemic. We remain vigilant and are closely monitoring the situation globally as we advise our clients through the difficult challenges they face and also help them prepare for the new opportunities in a post-pandemic world. Turning to our results. Building on the strong momentum of our record first quarter, our recovery accelerated into the second quarter with another outstanding performance. Once again, our results exceeded our expectations and our team delivered robust growth both sequentially and year-over-year. In addition, we're ahead of our pre-pandemic performance levels in terms of both revenue growth and profitability. For the second quarter, record net revenue increased 79% year-over-year and 34% sequentially. Newly acquired BTG, which operates in the high growth on-demand talent segment of the market exceeded our revenue growth expectations. Profitability also reached all-time highs with our adjusted EBITDA margin expanding 590 basis points from the first quarter of this year to 14.4. And adjusted EPS of $1.14 more than tripled from last year and increased more than 30% sequentially. While a portion of the strong performance can be attributed to some pent-up demand still working its way through the system, at this stage, the outperformance is really the result of a confluence of larger forces, including a seismic change in how we work driven by people working differently and new skill sets that are required to be successful. Companies must be agile, adaptive and fluid. Through our executive search, consulting and on-demand capabilities, we are helping clients solve for these complex issues while addressing major trends accelerated by society and the pandemic including diversity, equity and inclusion, digital transformation, ESG and others. The result is more projects with more clients that have greater sustainability and a more diverse revenue stream. We also continue to benefit from changes we've made in the way we operate and our strong positioning in the market developed over the past several years. Through our own digital transformation, we are executing searches at a faster pace and delivering new solutions virtually. Additionally, tech enabling our business has accelerated productivity.
Mark Harris: Thank you, Krishnan, and good afternoon everyone. Thank you for joining our call today. The continued hard work of the Heidrick & Struggles team allowed us to continue to deliver record results in the second quarter, putting our first half EPS on a record pace for the full year. As Krishnan mentioned, net revenue in the second quarter was marked by strong double-digit improvements, both sequentially and year-over-year driven by each of our businesses, our practices in each region. This growth coupled with strong management of the P&L resulted in all-time high levels of profitability. Before I begin my review on the second quarter, I'd like to point out some changes in our reporting format that we think you'll find helpful. First, you'll notice, we established a new reporting segment called on-demand talent to reflect the acquisition of BTG in the quarter. Related to BTG, we added a cost of service line item on the consolidated P&L. The line item includes both third-party contract costs, primarily related to BTGs independent talent and to a much lesser extent, but also includes third party cost of services for some of Heidrick Consulting's engagement delivery, which were previously included in general and administrative expenses. With that, today my remarks will focus more on the sequential trends as I believe these are the most meaningful comparisons in the previous year's performance. Last year's second quarter was clearly impacted by the global pandemic and while we recognize that many clients and communities around the world continue to struggle, we see overall demand of our services continuing to grow as we advise our clients on the new challenges in a post-pandemic world. We're very pleased with the current market trends, yet we remain vigilant of potential disruptions from the pandemic and continue to closely monitor the situation. Now, let me provide you with some details of our historic second quarter results. I'm pleased to announce that we crossed over $200 million in net revenue for the first time in a quarter and hit a record net revenue of $260 million in the second quarter, which was 78.6% above last year's second quarter and 34.2% above the $193.7 million we reported in the first quarter of this year, which also was a record quarter of its own. Clearly, this is much stronger than we expected when we publicly commented on our last call and coupled with the demand momentum we've seen thus far in July, we're encouraged about the third quarter, which is reflected in our guidance. I will comment more on this later in my prepared remarks.
Operator: Thank you.  For our first question, we have Josh Vogel from Sidoti. Josh, your line is open.
Josh Vogel: Thanks, good afternoon guys. Thanks for taking my questions. I have a couple here. My first one, just given the need for talent, you discuss pent-up demand and obviously the robust activity levels of late. Are you finding this elevated war for talent that's yielding any uptick revenue or just instances where the actual comp is exceeding what the original estimates were?
Mark Harris: Sure, Josh, it's Mark. Would you mind just repeating that one more time.
Josh Vogel: Yes, sure. I was just curious if you were benefiting from any uptick revenue where the actual comp was coming in higher than your original estimates just given how is the elevated war for talent and pent-up demand by global companies?
Mark Harris: Yes. So the answer is yes. And what we were able to see was a couple of things. The first one is in terms of normal retainers, we haven't seen really any material modifications in terms of what that is, as well as the mix, etc. So, I think we've held that pretty well, the structures have held pretty well. The uptick definitely have come in stronger than we anticipated. We have seen higher upticks in the previous periods, but it was obviously a great strength. So, for example in Americas, they were up about 9% in Europe, they were up almost 32% in Asia-Pacific, they were up almost 20%. So, in terms of where we thought those would come in, I think you had kind of two things going on within the revenue guidance. One is clearly we had great confirmation trend. We've disclosed almost 1700 confirmations and that was up from the record 1600 not more than just a quarter ago. But by holding and maintaining our discipline in terms of both structure and the components of it, with the upticks kind of kicking in, that clearly helped everything out.
Josh Vogel: Thank you for those insights. And Krishnan, you had a comment about executing searches at a faster pace enabled by technology. I was wondering if you could quantify this and is that may be a new norm or given the growing use of technology in the search process or is it just a function of the current environment and pent-up demand?
Mark Harris: Josh, I'm going to try answer that for you -- in Washington DC, there is a fire alarm going off and Krishnan had to run out of the building. So, I'm going to do my best to be Krishnan if that's okay.
Josh Vogel: Okay.
Mark Harris: One of the things that we saw, to answer your question is, with the enablement of the technology and let's be frank, a little bit, a big push from the COVID side of it, has really allowed us to kind of reduce our days to complete by almost 25%. So without flying candidates all over the place with the implementation of Zoom interviewing, with the digital assessments, which we've had for a long time, but really I think has forced the acceptance rate of a lot of the technology of Heidrick Connect and everything that we kind of put in place. That -- and it's hard to unscramble how much is waiting on that, but we have seen a nice drop. And I guess the question for us is, is that the new norm. We think actually it probably is. There might be some lingering for final mile to meet candidates, but it doesn't seem to be changing the new methodology if I can call it that. Similar with Heidrick Consulting where we've seen again acceptance of our digital delivery mechanism, we've seen that kind of come through. That's helped us out a bit in terms of quickly achieving again some revenue targets and again, I think their accomplishment of the $17 million -- over $17 million in revenue, they were able to achieve this quarter is really speaking to that. So -- and BTG obviously we'll get you some comparisons and rollout to have another quarter in there and we can kind of demonstrate it. But I think really that is -- really unlocking some value for us and hopefully some differentiation, which we think is really helping us in the market.
Josh Vogel: That's helpful. Thank you. And I just have a couple of quick ones around BTG and how should we think about the cost of service line going forward from like a quarterly run rate perspective? Is it more fixed, is it variable in there, just how should we think about that as BTG grows?
Mark Harris: BTG is always going to have kind of that cost of service percentage in their model, right? So unlike an Executive Search or Heidrick Consulting where there's an internalization of us able to process, this is clearly going to come from independent outside consultants that are going to be engaging. So, you have to figure that plus or minus around that amount of percentage of revenue is kind of going to walk out that door because we have to pay the third-party consultants to implement interim and project work. The idea what we should have behind it is really a scale, right? As we continue to grow that element, we should be able to see that scale kind of come through. It was really nice for their first reported quarter to show more than breakeven. As I've made comments about last quarter, it's always going to flirt with plus or minus on the breakeven side of it. They had a real excellent quarter and again the team there does a fantastic job in managing that side of the business. So, we saw, I think it was 0.8% margin. To figure, as we kind of get further down the road with scale, we should be able to get that up considerably, but again just to set expectations, we're not expecting this to be a 15%, 20% margin business. This will always kind of play in that 8%, 10%, maybe a slightly above that margin business when it's finally its steady state of growth.
Josh Vogel: That's helpful, thanks. And I think that it's still a small but rapidly growing part of the business. I was just curious how much on-demand or BTG revenues into your Q3 guidance number using Q2 as a base? And just kind of like a tangent to that, how much visibility do you have in the BTG pipeline relative to Executive Search.
Mark Harris: It's very similar. Right? So they have a backlog. They understand the client engagements. They know what's in their pipeline in the sales strategy. They're a very well-managed business. So, their number is obviously in our guidance. We don't really break that out in terms of how much of HC or on-demand or Executive Search. We all lump it up into one. But I guess my comment would be it's not going to be too dissimilar on what you're seeing around the quarter, in the first quarter at least. And you would expect, again, as we kind of grow the business and we think about strategically, this is very much a U.S. centric type business right now with a little bit in Europe and -- but we want to, again, work with them in our channel and really open up, really open up Asia-Pacific and really see where we can take the growth of this next. That's kind of where one plus one equal three here.
Josh Vogel: Great, thank you. And just lastly; I have seen my notes, BTG doing about $50 million in 2020, the run rate is 50% growth based off of Q2, is that a good number we should think about 2021?
Mark Harris: Well, I think 50% growth is very, very high. Yes, I don't think we're going to accord with that too much. I would say, again, when we talk about kind of high growth, we're thinking about, I guess, respective high growth, maybe that's a nice way to say it, where we would say look it's certainly going to be long-term better than Executive Search. Executive Search, as you know, has been a 4%, 5% third year growth business and we would obviously expected it to be significantly better than that, especially as they're kind of coming into that early stage, if you will, in terms of being plugged into our engine, etc. So, my overarching comment would be I think you're going to see growth, obviously, we think it's very strong growth, the ability to do so. But 50% is a pretty --pretty lofty target. I don't think we can achieve that one.
Josh Vogel: All right, got you. Well, thanks so much for the insights and for taking my questions.
Mark Harris: No problem.
Operator: And for our next question, we have Tobey Sommer from Truist Securities, Tobey, your line is open.
Tobey Sommer: Thanks. I was curious if you could catch us up and just remind us of how many partnerships like BTG the company has entered into in recent years because it seems like you had kind of learned how to work together before coming together? Thanks.
Mark Harris: Yes. We don't obviously disclose that externally. And we have partnerships, again, if you think about it, this partnership was probably a little bit more of, Tobey, what I would kind of call a third lane or an adjacency, something very similar to what we do but in a different way. Partnerships that we also look at are what we will call vendor type partnerships, technology partnerships etc. That really won't become part of us, it really is partnering and potential revenue share stream back and forth. So, in terms of the way that we kind of categorize our partnerships, they can either land in alignment, it can land in technology, it can land in again processing and making us much more efficient, which again kind of goes into that 25% reduction in days to complete methodology. So, those are the types of things that we kind of look at in terms of our partnerships. But we don't really want to go out with how many partnerships we have. So, we think it's just -- that's less concerning more than when we get something and we talk talked to you about it. And like we do with BTG, we talk -- we announced the partnership, you're going to hear those and those ones we will announce when we have them.
Tobey Sommer: Okay. Could you talk about what remote work might mean in terms of the Executive Search business? Are you seeing search confirmations or seniors in the C-suite, people that are more flexible geographically now and if so if there is a client in a -- not a sort of a top city, if their C-suite could potentially work in different locations at least primarily, what are the implications for your business?
Mark Harris: Well, I think that's exactly right. I think the idea is it's opened up the market to a much greater population because of what I would say the clients in assistance, if you will, on having to be in a set place. Heidrick is probably a good example of that. You have myself in the New York Stanford area, you have Krishnan in DC, Mike Cullen, COO, he sits up in Boston. Enrolled in different locations, yet, we've been very, I think we've been very effective in our working and I think a lot of companies are more like that growing to that model where it is less important on where the sea is located, probably more about world travel is going to be more of the topic, but we are -- and that of course opens up a lot more of the population where if there is lack in insistence of -- the person needs to move to wherever the headquarters is, it really allows you to kind of interview more candidates and I think that's also helping us get the placements a little bit quicker because of the quality of candidates may not be actually in the cities where you're looking at your headquarter. So, we've seen that quite a bit. We're continuing to see that trend quite a bit and I don't think that's going to slow down.
Tobey Sommer: Thanks. Is it also a contributor to the upticks because if you're able to recruit out a market, you theoretically might be recruiting from a city with a higher cost of living than where the headquarters of your client may be?
Mark Harris: It's a bit -- I had a similar question. And here's what it kind of gets. First on the board work, it's kind of irrelevant. I think you agree with that. On the CEO or CFO or where we kind of look at that it's not I would imagine as much of a differential as you would think, right? If you have a CEO of a Fortune 500 it's pretty much going to be on par with the CEO of a Fortune 500 and it's really dramatic. But for the most part, we really see that kind of space, that industry, that seg is really going to be what you're competing against or competing again if I just use the Coke, Pepsi, right? They're both competing potentially for the same type of resource and that's really what drives it more than where the location of that role is? So, I think that's probably less agnostic towards that end of it? Obviously, that will play a little bit of role, especially in London where it's very expensive, I'd imagine that would play versus somebody in Cork, Ireland. So, again, we do see it a little bit, but I think in, overall, I don't think that's a real differential in terms of the big difference in price.
Tobey Sommer: Okay. Just a couple more from me, how do you view the company's performance versus growth in the end markets that you have exposure to, to the extent you're able to rather benchmark or communicate with competitors and what they're seeing?
Mark Harris: Maybe an example, Tobey, just help me understand the question.
Tobey Sommer: Are you taking share, keeping share or losing share based on your growth rates?
Mark Harris: That's it, directly. And it's like the Krishnan is back as well. I'll try to answer it. And if Krishnan wants to jump in, he can. But in terms of market share, it's always very difficult for us to measure, as you know, there is only one other public company and the rest is private and some of the industry data we get is survey based and I don't put a lot of weight on it. Overall, based on the growth that we're seeing, based on what we can benchmark ourselves to, I definitely know we're holding our own eyes highly suspect on that we're doing better in terms of some market trends, but without really, again, I'm very specific on actually having numbers that are audible, if you will, it gets to be quite difficult, but we do see it and lot of the other metrics that we kind of manage in terms of wins, in terms of things that we're competing against, in terms of what we know and what we're seeing out in the market, I definitely have a positive feel. Krishnan, I don't know if you want to jump in on that as well.
Krishnan Rajagopalan: Sure. Hi, apologies. Good to see the Fire Emergency systems continue to work in these buildings. Look, we entered the, we tracked this last year and I think we held our own -- we've more than held our own last year based on the information we were able to grab and as Marks says, it's hard to see that. So, we felt we had excellent positive momentum on share. So, we continue to do well. So, I think we're in a good spot on it. We don't have yet the numbers. So, we'll probably take six months or so in this business to understand that a bit more, but feeling pretty good about it.
Tobey Sommer: Thanks. And last one from me, how are you thinking about internal headcount growth in Executive Search and Consulting going forward because the productivity has been surging and I don't know whether that has continued room to run or what have you, but at the end of the day, it's still a people business and over the long term, you've got to grow those to grow the company?
Krishnan Rajagopalan: Yes. Look, we're going to continue to add strategically, which is what we've done actually. We've been very strategic in our hiring, filling in gaps in geographies and practice areas, and we're going to continue to do that. So, Heidrick will be doing that. It's going to be on limited basis, it's going to be great culture fits and just going back to productivity, look that productivity number is very heady right now and I think on average, if we look at it, we're going to be over time I think will annualize to back to the 2019 if not a little above that $2 million level. So, given everything that we've done, we feel good that we can continue to drive productivity as well.
Tobey Sommer: Thank you very much.
Operator:  For the next question, we have Kevin Steinke from Barrington Research. Kevin, your line is open.
Kevin Steinke: Thank you. Good afternoon. So, I wanted to just continue on the discussion about BTG a little bit and how you go about growing and scaling that business over the longer term? I know, you're now able, with that as part of your business, you're introducing it to your clients, but do you have the number of independent on-demand professionals in the network needed to meet current and long-term demand or do you -- how do you go about continuing to attract that independent talent to the network that you need to grow over the longer term?
Krishnan Rajagopalan: Yes. Let me start with that and Mark if you want to add to that as well. Look, we've got a -- in BTG, we've got a fantastic asset in the talent as well. It was always at the high end of premier destination for executive talent at that level and we continue to grow that. And we think the relationship with Heidrick only helps that as well. So, we are -- there is a process in place and we continue to augment, we continue to grow that. And as the market grows that needs to grow as well and it will. So that isn't the limiter right now. So, we're not worried about it and we will continue to grow the asset.
Kevin Steinke: Okay, great. Are there other -- would you see this as an area for other potential acquisition opportunities? The independent on-demand talent space to further scale that area of the business?
Krishnan Rajagopalan: Yes. Look, first I want to say that I think BTG is doing a great job as just organic growth. So, we look to BTG to continue to do that. We, number two, look to the Heidrick channel to be able to continue to augment that growth and then I know we'll clearly in some markets will be open to look at different ways to grow that business as well. BTG is in Europe, but it's not everywhere in Europe. So, there could be opportunities there. So, there are many other opportunities like that, but BTG is doing a great job and we'll be open to looking at various avenues for growth there.
Kevin Steinke: Okay, thanks. And then, I guess just finally on BTG. Can you just talk a little bit more about the cost that you need to scale -- that you need to leverage to get to those targeted margin levels over the longer term? Is it kind of a sales and marketing investment you're leveraging or some sort of back office G&A, internal head count? Just trying to get a sense of how you drive the scale and leverage in that business over the expense base?
Mark Harris: Sure. I mean, again, remember that the cost of sales is always going to be that percentage plus or minus. So, that's you're really playing with kind of what's left over. And the answer to your question is, there's always going to be minor scale in the sales leadership side of it, potentially some here and there, but this is where, again at this level and above, we should start seeing where the margin improvements start coming in. As you kind of, let's call it double the business, is where you would be able to see those margins really starting to kind of come twofold in terms of what we kind of discussed in early part of the call. So, it's marginal, it's incremental, it will be a bit of a part over time, but as you know, again just for sake of argument and for analytics doubling the business, you'd expect that would move you up into the margin kind of, again, getting closer and closer to the sustainable side of it, whichever kind of those margins that we were discussing. It's not going to happen overnight. That will be my comment.
Kevin Steinke: Okay, great, that's helpful. And Mark, you mentioned G&A getting closer to 12% to 13% of revenues. Should we think about that as kind of a longer-term target or where you think it will trend this coming quarter? Just any more color around that.
Mark Harris: Yes. I mean when I saw it at 7.4%, I just wanted to make sure that people understood is that was one heck of a revenue number on the top line. And even though on a gross dollar value, we did a heck of a job, we've been cutting into that. So, the real estate shift in the strategy we did last year, as well as kind of rebalancing ourselves etc., I think we've done a really good job at maintaining that at a reasonable expectation. I think when -- the reason it will go up for the most part is we would expect time and expense and mills to kind of start coming back a little bit as people travel a little bit more hopefully and other components, occupancy costs, as well as potentially some professional services costs. Those will come back into the mix and that's when it makes that people understood is don't hold me at the 10, I mean, look, it's a heck of a lot better than last year at 19 and our peak of 25%. So, I do think when we're talking about holding in that 12%, 13% is really kind of an objective. But as you know, all too well, that is a function of revenue too. So, if this revenue maintained, we would have no problem maintaining that. The question is, is the market really long at this level and that's the part that I'm sure like all of us, we're eager to find out.
Kevin Steinke: Okay, thanks. That's helpful. And then, just lastly; Krishnan, I believe you mentioned in your prepared comments, you made a reference to potential for elongated future cycles, I think related to some of the -- just the demand drivers and market drivers you're seeing. Can you maybe just expand upon what you meant by that in terms of maybe a future demand cycle being elongated or longer lasting or what you're thinking about in terms of the market you're seeing right now?
Kevin Steinke: Yes, absolutely. Okay. I was talking about a lot of the thematic things that are shaping society as well and we think are influencing our business as opposed to simply economic cycles. So, give you two examples. I mean if you look at DE&I, we see that as a journey that's going to continue for a while outside of purely economic cycles. If you look at what's starting to happen with ESG, sustainability side, we're going to see that continue. We are seeing digital transformation, which actually started several years ago, continues as well. So, this is what I was referring to when I was talking about elongated cycles, really macro themes that are impacting and driving our business as well in a positive way that go a bit outside of the traditional GDP scenario.
Kevin Steinke: Okay, thanks. That's helpful commentary. I appreciate you taking the questions.
Mark Harris: No problem. Thank you.
Operator: There are no further questions at this time, I would like to turn the call over back to Krishnan for closing comments.
Krishnan Rajagopalan: Great, thank you and thank you everyone for joining the call. Let me just close by acknowledging the great work of our team. These are still somewhat uncertain times ahead for all of us. We are encouraged by progress that we see with vaccine rollouts in some places, but also recognize that it's not universally positive news yet. I think our global team has done incredible job and remain focused on the things we can control, particularly focused on taking care of our clients and that hard effort we've been putting in as a team to transform our business is also paying off, not only for our clients, but also for us in performance. So, thanks all of you for participating today and your interest in Heidrick & Struggles. Have a great week and we look forward to catching up with you again soon. Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.